Operator: Hello, everybody, and welcome to the Bumble First Quarter 2025 Financial Results Conference Call. My name is Elliot and I’ll be your coordinator for today. [Operator Instructions] I would now like to hand over to Will Taveras, Investor Relations. Please go ahead.
Will Taveras : Thank you for joining us to discuss Bumble’s first quarter 2025 financial results. With me today are Bumble’s Founder and CEO, Whitney Wolfe Herd and Interim CFO, Ron Fior. Before we begin, I’d like to remind everyone that certain statements made on this call today are forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on the beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of factors and risks that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in today’s earnings press release and our periodic filings with the SEC. During the call, we also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Reconciliations to the most comparable GAAP measures are available in our earnings press release, which is available on the Investor Relations section of our website at ir.bumble.com. With that, I will turn the call over to Whitney.
Whitney Wolfe Herd: Hello, everyone, and thank you for joining us today. I’m excited to be back leading Bumble. We’re moving fast with a clear and focused strategy. It has been really exciting to see the energy the team has around what we are building and their passion for bringing people together is unmatched. Since you’ve not heard from me in-depth for quite some time, I want to start with clarity and reflection about both our category and our company. I think it will come as no surprise to hear me say that online dating is at an inflection point. The good news is, we know how we arrived here and we believe that we know exactly what to do about it. It starts with doubling down on quality and not chasing scale for scale’s sake. Let me explain what I mean by that and how we’re accelerating efforts to put Bumble back on the path to sustainable growth. Dating apps perform very well when well-intentioned people get quality matches, have great experiences and meet real quality people. They go on dates, many fall in love. This is precisely what has powered the growth of our company worldwide and created an incredibly valuable business and why people continue to come to us for love. Looking back, the quality of member experience shifted during the pandemic. Even though we grew fast, it came with a hidden cost. When the world shut down, we couldn’t rely on our usual ways of attracting members that fueled high quality organic word-of-mouth growth, like in person events, campus marketing, and targeted out of home efforts. We had to shift to rely on performance channels. That gave us a lot of new members quickly, but we now know they weren’t always the right fit. The lack of relevance to one another drove down the matching success rate. Here is why that matters. People come to Bumble to meet people they actually want to meet, not see mass volumes of people they’re not interested in. Dating apps don’t work like social networks where more people and content automatically makes the product better. In dating, success spreads through effective double-sided matching, which is deeply reliant on mutual relevance. This is what leads to successful outcomes. Then members tell their friends and healthy growth follows. What we learned is that just adding more profiles does not guarantee better matches. In fact, it can lead to the opposite, more mismatches, more fake or low quality profiles, and a frustrating experience. As match quality dropped, some members got discouraged, found fewer successful matches and dates, and fewer people recommended the app to others. That slowdown in word-of-mouth growth has made it harder to sustain long-term momentum without the reliance on performance channels. The good news is we have a clear path to getting back to our roots of strong word-of-mouth flywheel. The solution for Bumble is simple, showing members people they want to see, getting them quality matches, quality chats, and closer to love. For online dating and for Bumble, quality is the key to enduring growth. That’s why we are accelerating our efforts to improve our member base and show members a more thoughtful selection of high quality relevant profile. In pursuit of this goal, we are fast tracking two transformative and clear actions. First, to improve the member base, we are refreshing and intensifying our efforts to remove bots, scammers and bad intention members that have degraded match quality and member trust. At the same time, we are also very focused on fostering a verified trusted community, which is critical for long-term success. This includes helping our well-meaning members create better profiles, to become more engaged and successful in getting quality matches. Better profiles lead to better matches. Second, we are rapidly modernizing our personalized matching algorithm with AI and enhanced machine learning to promote and elevate quality Bumble members to better enable those relevant matches. We’ve been testing our modernized matching algorithm and we’re already seeing early positive results with increases in relevancy and match rates. By combining these transformative actions, optimizing for our quality member base, helping people show up better and applying a more personalized intentional algorithm, we are re-establishing the foundation for a return to sustainable growth. To be clear, we have a lot of work ahead first before the improved experience drives renewed and enhanced member engagement and reaccelerates growth in a controlled, authentic way. Our efforts to improve the quality of the member base will likely result in fewer paying members on our platform in the near term. You saw some of this in our first quarter results and we are now accelerating our efforts. But getting through this process is critical and we believe it will prove to be the start of the future for Bumble with much stronger and more enduring member first growth. As we do that work, we’ve also been quickly getting stronger and more efficient. Since I returned to the CEO role in mid-March, we have taken decisive actions in the business to set us up for success. I’ll start with leadership and structure. We are building a world-class team to execute on our vision. We’ve brought in seasoned and energetic leaders across product, technology, communications, and legal and are progressing in the search for a permanent CFO to help lead this company forward. One of the things I’ve been most excited about as I’ve stepped back into the role is how our powerful brand remains a magnet for great talent and people see the potential and opportunity ahead. We are up leveling our processes across the whole company. From the top to the bottom of our organization, we are prioritizing excellence, speed, focus, clarity, and accountability. Next is financial discipline. One of the first things I did was a thorough review of the entire company. We are actively taking steps to optimize for EBITDA profitability by streamlining costs and processes and driving efficiency across the organization. We have already identified $15 million in new near-term savings distributed across operating costs in the last six weeks and we expect more. We have also thoughtfully and significantly reduced our marketing spend in line with our near-term strategic focus. We have taken down our marketing budget by $20 million in Q2 with more to come in the balance of this year as we focus on organic marketing strategies to attract the right members who want to find success on our platform. Most of this production is spending on non-organic user acquisition channels that don’t drive the level of member based quality we want to build. As we get our member base closer to where we want it, perfect our modernized algorithm and begin delivering product innovation, we’ll turn brand and organic spend back on, but we believe the long-term pivot away from performance marketing spend will deliver sustaining benefits over time. Our third priority is product and technology excellence. We are continuing to innovate across the Bumble platform with new enhanced technology and product experience improvement. To this point, we’ve just announced our new CTO, Vivek Sagi, who brings deep consumer tech experience spanning engineering, product management and UX. He is a phenomenal addition to the team. He’ll push our tech and our company forward with world-class talent and modern lean infrastructure including incorporating AI with urgency to improve our product and make our engineers more efficient. Our March update included the launch of our Discover tab, which is more likely to lead to matches and good chats for our members by highlighting commonalities. This is just the beginning for Discover. Longer term, we want Discover to be a great area for our members to find like-minded communities and connect with offline groups and events for singles, which will offer the real life connections we believe our members are craving. Additionally, our trust and safety initiatives, including ID verification, review before send and share date are gaining traction and proving to be valuable tools in supporting authenticity and safety on our app, which is our main priority. These examples show how we are getting back to our roots and back to basics. We are operating from a member first mindset again. We are listening closely to what our members want from dating and connection and that is what we are building. We are fixing the fundamentals so that we have a more powerful foundation in place from which to innovate. You will see more evidence of this in our next product moment, which is coming at the end of this summer. We are focused on delivering better and faster matches, more enhancements to our verification and safety tools, a refreshed UI and UX and mechanisms for learning more about what our members value and listening to and acting on member feedback with care. We’ll also be introducing our coaching hub where members can engage with content from expert coaches with tips on how to succeed in their dating journey. Long term, this will be both human and AI-driven. We are also investing time and attention into Bumble for Friends. We’ll be unveiling a big update as part of our summer launch. Bumble BFF is a great success that we don’t talk about enough. With over one million active members, including a strong Gen z following, we believe Bumble BFF is proving that the world is creating tangible real life friendship beyond just romantic relationships. The brand has a great following on college campuses and with young professionals as women seek out important friendships that will carry them into their later adult years. Importantly, we are also leveraging Geneva’s great technology platform and talent to power this upgraded experience. We have been actively connecting with many of our Bumble BFF members and members of our target audience to understand exactly what they want from the friend finding experience and we plan to deliver on many of those optimizations this summer. Looking ahead, we do not believe we’ve seen our peak. In fact, we believe Bumble can and will become much bigger over time. It requires an intentional shift in focus back to what made Bumble the leader in our category, offering a healthy and engaged member base where high quality, genuine members can thrive in finding connections, relationships and love, safely, quickly, and effectively in a way that makes them feel good. We have an incredibly strong foundation as we execute, a powerful global brand, large base of engaged members, experiences that we believe are only going to get better, a highly cash generative business model and strong balance sheet. In other words, we are in the unique position of executing a reset from a position of strength. And as you’ve heard me say, we are going to be sure to prioritize this strong financial foundation. As we move forward, we aim to keep you informed on our progress with the right tools to measure the results. We’ll be judging our success in the near term on the improving health of our member base and the success our active engaged members have on the platform. We’ll be sharing more on how we’ll be quantifying that progress in the coming quarters. At the same time, we will be deemphasizing guiding you to paying users. We do not want to degrade the base by overly focusing on short-term payer numbers. Of course, we will continue our financial guidance practice with the near-term focus on quarterly outlook. That’s the short-term. Let me also touch on the long-term. As we execute on our plans, we are very focused on building a sustainable revenue model with a healthy paying member base. We are helping people find love and that is immensely valuable to our members. We know members will pay for that value. A higher quality experience and member base means we have more to monetize over time. We understand the steps we’re taking are not easy, but all of us here are energized about the work we’re doing to build a stronger, bigger, healthier Bumble. Make no mistake. We are focused on long-term member-first sustainable growth. We truly believe that when people feel safe, supported and matched with intention, everything grows. Retention, loyalty, love and, yes, revenue and earnings. I now want to turn to our interim CFO, Ron Fior to provide some details about the prior quarter and to share more details about the path forward for Bumble.
Ron Fior : Thank you, Whitney, and good afternoon, everyone. As Whitney has mentioned, we are taking big and important steps to put the member experience back at the center of everything we do at Bumble. In time, we expect these steps to renew our organic growth momentum, which we believe will result in a larger and more sustainable bundle for the long term. I will provide more detail on the financial implications of our path forward, but first, I’ll provide a summary of our first quarter financial results. Our Q1 results were largely in line with company guidance. In Q1, total Bumble Inc. revenue was $247 million, including an unfavorable impact from foreign exchange of approximately $6 million. Bumble app revenue was $202 million, including a foreign exchange headwind of approximately $4 million Additionally, total paying users in the quarter were 4 million and Bumble app paying users were 2.7 million. Badoo app and other revenue was $45 million, including a $2 0mln foreign exchange headwind during the quarter. Badoo app and other paying users totaled $1.3 million. Turning now to expenses. Total one GAAP operating costs were $202 million and we reported GAAP net earnings of $20 million. On a non-GAAP basis, which excludes stock-based compensation and other non-cash or non-recurring items, operating expenses were $183 million, the year-over-year decline of approximately 6% was primarily driven by lower headcount as a result of the restructuring plan executed in 2024. Adjusted EBITDA for Q1 was $64 million, representing 26% of revenue. We reported strong cash flow of $43 million in Q1 and we ended the quarter with $202 million in cash and cash equivalents. We repurchased $29 million worth of shares in the first quarter and as of today’s call, we have $50 million left in our current stock repurchase authorization. Looking ahead, we are working at an accelerated pace on the improvements to our member base that Whitney discussed. As the team works towards these goals, we are also prioritizing strong cash flow and profitability throughout this transition period. While we anticipate short to medium-term headwinds to our top-line and top of the funnel metrics, we have also identified areas of ongoing cost savings. In particular, we have identified approximately $15 million of operating cost savings from across the business that we will recognize through the end of the year and we expect to add to that figure as we complete our evaluation and planning work over the coming weeks. The savings will begin to take effect in Q2 with the majority of savings occurring in Q3 and Q4. Further, as part of our process to improve the Bumble member base, we have purposely pivoted some of our spending away from performance marketing. We will also be spending less on brand marketing in Q2 than is typical, but we expect that to come back to normal levels in the second half of the year. All in, we expect marketing reductions will total approximately $20 million in Q2 with additional performance marketing reductions through year end. We expect to provide more details on our cost efficiency work on our Q2 call in August. Turning to guidance for Q2. We expect total Bumble Inc. revenue between $235 million and $243 million, representing a year-over-year decrease of 13% to 10%. Excluding foreign exchange and Fruits and Official, this translates to a decrease between 12% and 9%. We expect Bumble app revenue to be between $193 million and $199 million, representing a year-over-year decrease of between 11% and 9%. Additionally, we estimate adjusted EBITDA in Q2 to be between $79 million and $84 million, representing a margin of approximately 34% at the midpoint of the range. As Whitney mentioned earlier, we are pausing our practice of guiding to paying users as we work towards improving the member base and optimizing for higher quality and more relevant matches. We are committed to providing you with appropriate color around member engagement and success that will help you follow and measure our progress. We’ll have more to share on that front on our next earnings call. While we are not providing guidance for full year 2025, as we finalize planning and budgeting in support of the new team’s strategic work, we want to provide some thoughts on our planning assumptions for the balance of the year. We expect a $12 million revenue headwind as a result of our decision to discontinue our operations of Frutz and Official. This impact is expected to begin in Q2 and be roughly evenly distributed through the remainder of the year. After Q2, we expect our adjusted EBITDA margin to reflect the operational cost savings we are implementing and the reduction in performance marketing spend more than offset by our planned return to brand and organic marketing spend and the near term revenue headwind from our member based quality initiatives. We have a great business foundation with strong cash flows and a healthy balance sheet. We are moving forward confidently as we improve our member base and drive member success and ultimately reignite sustainable growth and value creation. We appreciate your ongoing support and I will now hand it back to Whitney to wrap up.
Whitney Wolfe Herd: Thanks, Ron. The Q2 outlook Ron has shared indicates our focus on driving profitability and cash flow generation as we execute on the priorities I’ve set out since coming back. We’re doing so from a position of financial strength. I have full conviction in our renewed strategy and our ability to make the Bumble experience relevant, meaningful and successful for our members. I can’t remember a time in all of Bumble’s years since starting the company that I felt more energized, passionate and confident than where we are going now and that is largely because of the clarity and the priorities that we have. We are already building early execution momentum. I feel the magic coming back to Bumble’s brand and product and believe we have a really exciting path ahead. I am here for the long-term potential that we so deeply believe in. I am here for the love that we create in the world. Thank you again for joining us today. And now we welcome your questions.
Operator: Thank you. [Operator Instructions] First question comes from Ygal Arounian with Citigroup. Your line is open. Please go ahead.
Ygal Arounian: Thanks, guys. Good afternoon. Just first, Whitney, as you make these changes and pull back on performance marketing spend, focused on, let’s call it, fewer but higher quality users. Does this change well and I guess what you’ve seen from, the performance channel-driven users and how it’s impacted the ecosystem over the past few years, does this change your view on what the addressable market is over time? How much more growth there is to achieve in this segment and the kind of saturation of it? I know you’ve had views that there’s still a lot of room to grow here. Would just love your thoughts on that. And then, as you’re making these changes, maybe just to to clarify, improving the ecosystem has been, the top priority even over the last couple of years. And so the changes that you’re making here, is it a continuation of what you’ve done? Has those efforts not really worked so far and you need to add another layer to it or is it kind of just continuing to do what you’ve done so far, while you pull back on marketing? Thanks.
Whitney Wolfe Herd: Thanks so much for your question. Really appreciate it. Let me take this in a couple parts. So part one, let’s address the high level strategy here. The key to enduring growth and then I’ll get into the TAM part, is quality. Quality, quality, quality and our strategy is really simple. We just have to get back to our roots of what made this great. If you ask yourself, what do people come to Bumble for? It’s very simple. They come to get high quality relevant matches in an efficient, safe and fulfilling way. When you scale for scale’s sake, the quality experience of finding matches can start to degrade. I think you’re hearing this anecdotally probably if you ask around about how dating apps are performing. So this is not an effort to necessarily go shrink and become a hyper, exclusive network. This is really about engineering a higher quality experience for all of our members and I’m happy to take you through how we do that. But let’s touch on TAM and then let’s talk about the last couple years and why this moment is a hyper acceleration of that. So TAM, the demand for love I know you’ve heard me say this, but I cannot overemphasize this enough. The demand for love is global, robust and it is at an all-time high. I mean, you don’t need me to tell you this, but loneliness is the topic of of every conversation. People are craving real human connection more than ever and people are digital first. We are not going to go back to meeting people just offline. Now as I said in my prepared remarks, of course, there are offline components here. We want you to come to our product to then get offline on great dates. So we believe the TAM is massive. But what I’m not willing to do, I am not willing to just go pay for more downloads to come into a funnel and get less relevant matches. So that’s why we are taking exceptionally strategic approach to pausing the efforts around performance and growth marketing so that we can really, really dial in this hyper modern personalized algorithm that will be able to match people with extreme precision and in a quick, in joyful way, one that doesn’t stress you out and feel, like you’re matching with a bot or a fake person. So that’s already in play here, and that’s a big part of the strategy. The next piece is let’s talk about what you mentioned, that this has been, to some degree, the strategy for a couple of years. I wanna get really clear. You can’t do both at once. You can’t go and keep the performance marketing engine on and try to create a higher quality member base of super high quality profiles. You have to commit and go all in on one or the other. For us to continuously guide quarterly to short-term payer numbers, that is not the way we accelerate our efforts to a high quality base. So the moment I came back in, I set a very succinct strategy. Quality, quality, quality. Get people great matches. Get everybody great matches as quick and safely as possible. So to put a pin in all of that, huge TAM. We got to shrink a little bit before we grow. There’s still huge growth around the world and we are going to go after it aggressively once the product is ready and the quality controls are in place. Thing two, this is not just doing what we were doing the last two years. I am back. I’m so focused on this, and we are going to get this right, but we got to go all in. This is our whole, whole, whole focus and clear priority. And so I hope that summarizes the mix of the questions for you.
Operator: We now turn to Shweta Khajuria with Wolfe Research. Your line is open. Please go ahead.
Shweta Khajuria : Okay. Thank you. Thanks a lot for taking my questions. Let me try two, please. Whitney, thanks for that color. I guess my follow-up is, what are some of the key metrics, as you go through this change in the process that that you’re measuring that will show success in your view? So if you could please point to maybe two or three measurable metrics that you are tracking to show success. And then, second is, any update on the, on the CFO search and where you are in terms of timing and and the process? Thanks a lot.
Whitney Wolfe Herd: And it’s great to chat with you again. So I’ll take the second one first. We are making a lot of progress on the CFO search. I do have to say extremely grateful. We’ve got Ron in the seat right now. Sitting next to me, he’s been a great partner. And he is here until we place that role, but we are making a lot of progress. And I’m super excited for the type of leader we’re looking for. So more to come there, as soon as we have a formal update. But I think this is also a nice moment to emphasize the strength of the talent that we have brought in the last several weeks. So our bench now, with the exception of a CFO is locked. I mean, we’ve got all stars in the seat. So I’m feeling really proud of that. We’ve made an announcement today. You can go double click on that. Okay. The second question, what are the metrics that matter? Well, as I said in the prepared remarks, we will keep you posted on how we are going to guide and report the formal metrics. But if you think about this just more high level, I just kind of outlined that. The metrics that matter here are the quality of the engagement that people have on our product. If you come to our app and you have a very good, joyous, seamless experience, you get great matches and you have great chat, you’re going to retain people in a way that is really, both great for the success rate, but it also is what drives that word-of-mouth and that is how we got here. I have taken a very organic approach for the first several years of this business and I know how to do this. So it’s really about getting back to those key inputs that matter the most. Coming, having a good experience, using the product in a way that is fulfilling and not dead ended, getting great matches that lead to great chats, that hopefully lead to great dates, leads to love stories and that’s why when I go out in public, I need bumble babies everywhere I go, and it’s magical. So we’ve got to just get back to those inputs that count the most and we will keep you posted on a formal basis on how we are going to guide to that in the future.
Operator: We now turn to Eric Sheridan with Goldman Sachs. Your line is open. Please go ahead.
Eric Sheridan : Thanks so much for taking the question. I wanted to talk about the topic around AI broadly, Whitney, both inside the organization and as an external facing force. Can you talk a little bit about some of the investments you’re making across the organization, with respect to AI? How to think about productivity and efficiency gains? And how do you think the dating experience might change as a result of things like personalization or customization that could be an output of AI? Thank you.
Whitney Wolfe Herd: That is an awesome question. Super glad you asked that. So, I’m going to break AI into four categories. Let’s talk about how we are leveraging AI from a safety and verification standpoint. So as I’ve been outlining both in these answers, but throughout the prepared remarks, great matches are a derivative of great profiles. Great profiles are an output of verified, real, trusted, accountable profiles. So the power of the AI sophisticated tooling that we can now access further even on top of the layers of this that we’ve been doing for years can supercharge verification and safety efforts in such a way that can really accelerate that for us at a speed that is a lot more robust than what we’ve had in the past to operate off of. So this should really enhance the overall quality and safety and accountability of the member base. So that’s thing one. Now let’s look at how it enhances the “let’s say, what I’ve been saying to everyone on the team is we use AI to make love more human”. Right? So we are not trying to replace love with an AI bot. We are trying to leverage AI to help make daters have better human dating experiences. What do I mean by that? Most people have no idea how to build a dating profile. I have met some of the most amazing singles and when I look at their profile, I am shocked that they could not express how great they were in a simple profile. So leveraging AI to coach them through that experience is going to have a huge uplift on how we can help people show up better and really move that member base into a higher quality profile base, which then leads to better matches, better chats, the whole flywheel kicks in. So coaching, as we talked about, that will be powered by both humans and AI. We want you to know how to talk to each other. We want you to know how to write your bio. We want you to know how to show up. How do you know what you value? How do you know who you want to connect with? So AI is a huge accelerant and a huge accelerator to the dating experience to make you really understand how to get the most out of this experience. Okay. The third category is the matching algorithm. This is unbelievable. AI has always been I mean, let’s call it machine learning, has always been the foundation of how we match you. But you cannot believe how fast AI is moving when it comes to helping be a strong personal predictor of success on matches. So we are hard at work, and Vivek our new CTO who’s joining us just in a couple weeks. This is the top focus of ours. How do we accelerate our AI powered machine learning and our super personalized algorithm to make sure that people get on Bumble and they feel like it’s the smartest matchmaker in the world. You get on low efforts. You’ve been guided to a great profile and now, boom, just like magic, that algorithm has delivered you high quality matches, high quality chat, and hopefully, love. So that’s how we’re really going to leverage it. And I want to be very explicit here for anyone that may be asking about feature releases or upcoming launches. The innovation of this category and particularly of our business lies in the power of the matching algorithm. We are here to match people. So the better we get at that, the better the business gets, and we are laser focused on that. The last part of our approach to AI is efficiency. I think you have seen that from the moment I step back in this door, I got so, so in the weeds. Top to bottom, bottom to top, side to side, I went through every detail of this company, every team, every priority, every project, every dollar and if those dollars and those projects did not ladder up to the priorities that I just outlined to you, they went. And that’s why we just laid out to you that there’s going to be more to come. We are so focused. We are a laser focused machine now and AI is going to be an accelerator for us here. We are looking at areas within the business across all teams where we can lean into AI to make us more efficient, to make our work better, to make our work faster. So you can really - I hope you can see how we are leveraging the best AI has to offer while prioritizing the foundation of our mission and commitment to safe, healthy offline love.
Operator: We now turn to Nathan Feather with Morgan Stanley. Your line is open. Please go ahead.
Nathan Feather : Hey, everyone. Thanks so much for the question. First, I just wanted to go back over the past few years. I just want take your take on what you think led the product to deviate from the high quality matches that were really the foundation for Bumble’s growth. And then, kind of following up on that last question, as AI really helps the matchmaking algorithm get better and better, how do you think about the opportunity to create new engagement methods that really emphasize quality and curation rather than quantity? Thank you.
Whitney Wolfe Herd: Thanks for the questions. Both great questions. Let’s actually start at the second part of that. So, I’m going to ask everybody on this call a simple question. Everyone has really come down on the swipes in the media and in the public, but I want you to think about it a little bit differently. If I told you could swipe through 50 people and 90% of those people were people you wanted to meet. Wow, amazing humans. Great profiles. You have so much in common with all of these people. And then imagine you’ve got super high match rates and chat rates and a few great dates, out of that kind of volume of people you went through. You would probably come out of it saying, wow. I love swiping. Swiping is unbelievable. The modalities to get to great chat matter less than the actual people and profiles we surface to you. So it’s not just about showing you fewer people. It’s about showing you more relevant personalized profiles and this is the future of digital matchmaking. It is our job right now and for the long term to bring you the best people for you and not just to bring them to you and just surface them to you, but over time to explain to you and to contextualize why that person is extraordinary and why you should give them a chance. This was early, early innings of Discover where we started to surface the reasons why you should connect with someone in a more curated capacity. So this is a huge focus of our personalized matchmaking algorithm and the early innings of our dating coaching that we talked about in the prepared remarks. We want you to see great people in great simple ways, efficient ways, but this is not about more features. Now let’s go to your first question because they intersect. There has been this mindset that has been pervasive in the dating industry that more features equal better outcomes. And let’s just launch something new. Launch something new, but some of the greatest consumer products have not changed all that much in the last decade if you think about it. You get on some of these platforms, they don’t seem all that different, but the algorithm is so sophisticated. You see what you want to see. You get the experience you want to get. You look at Netflix, the interface is not all that different, but the content is extraordinary and it’s improved, and it’s modernized. So that is what we’re focused on right now. I’m certainly not saying that you’ll never see product updates out of us, but right now, quality is the name of the game and getting you matches in a safe, effective, efficient way so you can find love is what we are here to do and that’s what I’m committing to delivering.
Nathan Feather : Really helpful. Thank you.
Operator: We now turn to Andrew Marok with Raymond James. Your line is open. Please go ahead.
Andrew Marok: Thanks for taking my question. Just one for me, please. I don’t mean to belabor the topic of quality here, but it is just an extremely fascinating topic. So I guess you’re very clear that you’re looking to eliminate bots, fake users, antisocial behavior, et cetera. But is there anything else to that equation that you’re looking to engineer like you were talking about earlier? Is the Bumble of the future going to be a place maybe to find the whole gamut of human relationships or is there the intention to point Bumble and its brand to maybe a certain subdivision of the dating or relationship market? Thank you.
Whitney Wolfe Herd: Great question. Thank you. So, again, let’s talk about quality. I think I would love for you to think about it in three parts. So part one is really being extremely laser focused on identifying bad actors and low quality profiles. Folks that are off terms of condition terms and conditions. They’re not treating people well. They are a risk to our member base or they’re just scammers or spammers. Okay. They got to go. So we’re removing those profiles. There is a vast majority in the middle of good people with not great profiles and what do I mean by that? They might have one photo up from 2016. It’s blurry and they’re wearing sunglasses. No one is going to want to match with that person. But if you peel the profile away from the person, it could be your dream person. So it is our duty to elevate that vast middle of profile. We have to help our people show up better, stronger, bring out the best in people, more photos, more context, more information, more quality signal capturing because the signals don’t just help people want to match with you, but they actually power our algorithm. So that our match make our matchmaker on the back end, which is our algorithm, can supercharge how we deliver you the people you see. So to a prior question, you don’t have to go through hundreds of people to get to the one. We want you to see people that work for you and are relevant for you. Quality is top to bottom here. But when you think about the third category, the third category are the folks that are already shining. These great profiles, these great intention people, these people that are ready for love, they’re behaving great. They are the best contributors to the ecosystem and remember, we have a super scale base. This is a great company. We have a strong foundation, a strong brand. This is not a rebuild. This is just a reorganization of quality. So then you really take those and help those people shine, and you show them the other shining profiles and then magic happens. This is where matches happen at a better rate, higher rate, dates happen at higher rates and then that flywheel of what you used to hear about Bumble where every other person you knew was meeting on Bumble, that magic turns back on again. So that’s kind of the approach to quality and, oh, the most important piece there is verification. We are not scared and I want to say this again, we are not scared of losing members that are unwilling to verify themselves. You should be a verified person to be here. Show us your selfie verification. Put in an ID. There’s going to be a lot of mechanisms to better verify and by the way, this is the number one ask for women. They want to know that who they’re meeting on the other end is who they say they are. So when you talk about, will Bumblebee used for this one type of thing? Listen, I see us as the love company. I want people to find love. If you’re looking for the love of your life, great, you can find it here. If you’re looking for a friend, you can find it here. Bumble has a brand that is not exclusive to a one stop shop. It’s not a casual relationships company. It’s not a marriage matrimony company. This is about healthy, safe, quality connections and that’s what we’re committed to.
Operator: We now turn to Benjamin Black with Deutsche Bank. Your line is open. Please go ahead.
Benjamin Black : Great. Thank you. Thank you for that, and thanks for taking my question. I had a follow-up on AI. I mean, sounds like AI discovery could be a pretty meaningful unlock for the quality of matches and ultimately the value proposition you bring your customers. I’d assume that some of the infrastructure for these tools already exist today, but, isn’t data the big differentiating factor, data around what folks are looking for, what characteristics are drawn to those kind of things. So I guess the question here is, what are you doing to get more data insights your user base to ultimately have a bit more of a differentiated offering? Thank you.
Whitney Wolfe Herd: That’s a great question. Thanks for asking. So we, let’s for the sake of the answer, let’s call it signals, okay, instead of data. So signals are so critical because signals are double-sided. They’re both what you tell us about yourself and how you choose to express yourself, so that the call it the matchmaker on the other end of the screen, which is Bumble, will get to know you and fully understand you, what you’re looking for, what you need in love, what you need from relationships. And then we need signals from other people. So, every time you cast a vote on somebody in the system, we can start actively understanding the signals that you’re telling us matter to you most about people. So this is a huge part of our summer launch is building more UI and UX, customer-focused, forward-looking signal capturing mechanisms. So instead of just swiping right or left on a entire profile, we are going to give you the capacity to indicate specifically what it is you liked about that profile. Did you laugh at something that they had? Did something make you feel sentimental? Did, a picture they posted of them on a hike on some mountain realize, wow. We could go climbing together and I love that. There’s going to be so many in-depth ways to capture what matters most to you as a member on our platform and that is precisely what powers the AI algorithm to be personalized and to be effective. So you’re spot on. This is a huge focus of ours. I’m spending several hours a day with tech and product teams, making sure that this is going to be actioned appropriately and in a way that is deeply powerful to our members.
Benjamin Black : Very helpful. Thanks very much, Whitney.
Operator: [Operator Instructions] We now turn to John Blackledge with TD Cowen. Your line is open. Please go ahead.
Unidentified Analyst: Hi, everyone. Thanks for the question. It’s Logan on for John. We have a couple of questions on international markets. Maybe firstly, are you seeing different user behavior or quality of user ecosystems in international markets versus, The US and North America? So definitely are more emerging international markets facing the same challenges that developed in in the US ecosystem? And then maybe looking forward, what are some regions of focus or maybe big opportunities for the international business in 2025? Thanks.
Whitney Wolfe Herd: Yeah. Thanks so much for the question. So international is obviously - we all can see that’s a huge opportunity for us. And when we think about TAM, I mean, it’s a no brainer. Taking love around the world, we’re super lucky because the one thing that doesn’t change all that much from country-to-country is love. So many industries look super different from one culture to the next. But love is this one universal need and this one universal language, which is why our data looks almost identical from one country to another, which is really, really powerful. So, let me unpack this for a moment. What we are seeing and I want to state that I can speak to this very personally. When I decided to come back into this role, there was a a gap of a few weeks. I spent my day as getting really close to customers around the world, to members around the world. I did deep research on what is the feedback, what are the pain points from the United States to France to the differences in LATAM and and our Asian market. And you won’t believe this. The complaints are almost identical. We’re not getting the matches we want to get. We see fakes and bots. We feel like the people on the other end aren’t who they say they are. We feel like the premium paying offerings aren’t giving us value in return. Now these came through in different languages, but they were the same member issues. People want fulfilling matches. People want to go on great dates. People want to feel safe. So our work ahead of us and the way we’re thinking about this is we’re not going to go waste money and just pour money into random markets to create artificial short-term growth. We’re going to reset this product and we’re going to solve those problems top to bottom. We’re going to chip away at members’ issues and make this right. We’re going to make this product something that people around the world don’t just like, don’t just love, but need again. And so once that job is well underway, which we’re making huge progress on every day, then we’re going to go deep into these markets again. And you can bet that we are going to turn on that brand magic at scale, and we are going to do this right. We are going to light up the globe with Bumble in a way that gets people great matches that delivers value, makes them feel excited and makes them fall in love with our company again. So when we talk about regions and territories, the whole world is on our map, but we’re not going anywhere and doing anything until the product solves for those problems members are facing. So what I want to put a pin in, is that, I would not expect us to go chase growth around the world between now and end of the year because we want to do this thoughtfully and strategically. 2026 is going to be massive for us in terms of focus with our international efforts.
Operator: Ladies and gentlemen, we have no further questions. So this concludes our Q&A and today’s conference call. We’d like to thank you for your participation. You may now disconnect your lines.